Operator: Good day, and thank you for standing by. Welcome to the StoneX Group Q2 Financial Earnings Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker today, CFO, Bill Dunaway. Please go ahead.
Bill Dunaway: Good morning. My name is Bill Dunaway. Welcome to our earnings conference call for our second quarter ended March 31, 2023. After the market closed yesterday, we issued a press release reporting our results for the second fiscal quarter of 2023. This release is available on our website at www.stonex.com as well as a slide presentation, which we'll refer to on this call in our discussions of our quarterly and year-to-date results. You will need to sign on to the live webcast in order to view the presentation. The presentation and an archive of the webcast will also be available on our website after the call's conclusion. Before getting underway, we are required to advise you and all participants should note that the following discussion should be taken in conjunction with the most recent financial statements and notes thereto as well as the Form 10-Q filed with the SEC. This discussion may contain forward-looking statements within the meaning of Section 27A of the Securities Act of 1933 as amended and Section 21E of the Securities Exchange Act of 1934 as amended. These forward-looking statements involve known and unknown risks and uncertainties, which are detailed in our filings with the SEC. Although the Company believes that its forward-looking statements are based upon reasonable assumptions regarding its business and future market conditions, there can be no assurances that the Company's actual results will not differ materially from any results expressed or implied by the Company's forward-looking statements. The Company undertakes no obligation to publicly update or revise any forward-looking statements, whether as a result of new information, future events or otherwise. Readers are cautioned that any forward-looking statements are not guarantees of future performance. With that, I'll now turn the call over to Sean O'Connor, the Company's CEO.
Sean O'Connor: Thanks, Bill. Good morning, everyone, and thanks for joining our fiscal 2023 second quarter earnings call. In the second quarter of fiscal 2023, we continue to experience strong volume growth across all of our product offerings. However, while volatility continues to be moderately elevated in both financial and physical markets, it was significantly diminished compared to the three months ended March 31, 2022. The prior year period reflected the effects of the Russian invasion of Ukraine, which resulted in significant widening of spreads in many key markets in which our clients transact, making this a tough comparable quarter for us. Turning first to Slide 3 in the earnings deck, which compares quarterly operating revenues by product versus a year ago. Product volumes were up, except for FX and CFDs, which were down 10% and listed derivatives down marginally. The outlier there was securities, which was up 65% as we continue to push further into lower-margin, higher-volume products. Revenue capture was down except for Global Payments, due largely to the exceptional conditions in the prior quarter as a result of the Ukraine situation. Revenue capture was up in all products except securities versus the immediately preceding quarter. Physical revenues were up a strong 33% due to good results from the ag, biofuel business as well as precious metals activities. Securities operating revenues were up 65%. As mentioned last time, our operating revenues and fixed income trading get boosted by higher carried interest on our positions, but we also incur related interest expense on financing these same securities, which results in a gross up on the income statement. We now net off the interest in the rate per million metrics. On this basis, securities ADV increased 65%, while the rate per million declined 49% to $282, versus the immediately prior quarter, ADV was up 36% and the rate per million was down 33%. The decline in rate per million versus the prior year was due to the continued push by equity and fixed income groups into lower margin but higher volume products as well as tougher trading conditions on the equity side, which made it hard for us to internalize spreads. On the security side, this was definitely a tough quarter for equities, but on the other hand, the fixed income group did exceptionally well, having one of their best quarters. Global Payments had another strong quarter, recording revenues up 21%, with volumes up 16% and revenue capture up 2%. Our FX/CFD revenue was down 38%, largely due to tougher market conditions versus the exceptionally positive conditions in the prior quarter, which resulted in volumes being down 10% and revenue capture being down 31% versus a year ago. Versus the immediately prior quarter, ADV was up 5% and rate per million was up 14%, so an improvement over our Q1. Interest and fee income on client balances was $103.4 million, up 894% as we realized the impact of the cumulus interest rate increases, caused the back of a 22% increase in total client float, which now stands at around $8.6 million. Interest and fee income was up 20% over Q1, even though our client float reduced 12% as clients on the FDIC sweep started buying interest rates products to maximize yield. We also started to see some pressure to pay out higher rates to our clients on their funds. Moving to Slide 4, which shows the same data for the trailing 12 months. Over this longer period and despite more challenging comparisons now coming to date, we realized strong revenue growth across all products, except listed and OTC derivatives, which were up only single digits. Securities was up 57%, due somewhat to the accounting impact of the interest mentioned earlier and physical contracts were up 41%. We have generally seen increases in volumes across the board, while revenue capture is starting to become more challenging generally. Turning to Slide 5 and a summary of our second quarter and trailing 12-month results. Again, just to remind everyone, we're comparing against our best -- one of our best ever quarters a year ago. We recorded operating revenues of $704.4 million, up 29% versus the prior year and up 8% from the preceding quarter. Our operating revenues are boosted by interest both on the client float and also interest embedded in our fixed income trading, we mentioned earlier. Net operating revenue, which nets off interest expense as well as introducing broker commissions and clearing costs, was flat versus a year ago. During the quarter, we incurred $14.6 million of retirement and reorganization charges, the bulk of which relates to the Global Payments segment. These costs will be recovered over the next 18 to 24 months through lower variable compensation. Total compensation and other expenses was up 7% for the quarter, with variable compensation down 2% and fixed compensation up 33%, substantially due to the restructuring charges mentioned earlier. Fixed compensation, which includes the retirement and reorganization charges, was up $13.1 million or 16% versus the prior year, with non-variable salaries increasing $10.7 million compared to the prior year as a result of a 15% increase in headcount related to our ongoing initiatives to digitize and expand our product offering as well as annual merit increases. Versus the immediately preceding quarter, fixed compensation, again, excluding the retirement and reorganization charges, was up $15.5 million or 19%. This was driven by increased payroll taxes and 401(k) related expenses of around $4 million related to the start of the new calendar year. Accruals for paid time off increased $2.2 million as employees increased their remaining accruals in the prior period -- sorry, utilized the remaining accruals in the prior period and the current period return to more normalized levels. In addition, we experienced a decline in deferred compensation of $4 million versus the preceding quarter. Excluding all of these items, fixed compensation was up 7% on the preceding quarter, reflecting annual merit increases and some incremental new hires. We recorded $1.95 in EPS for the quarter, and the charges mentioned earlier, had an impact of around $0.50 on EPS. Without these charges, our EPS would have been roughly similar to Q1 when excluding the acquisition gain on CDI. Our ROE was 13.8%, and the charges noted earlier, impacted this by roughly 3.4%. Looking at the summary for the trailing 12 months. Our operating revenues were a record $2.5 billion, up 36% over the prior trailing 12-month period. Our net income was a record $219.7 million, up 49%. Our diluted EPS was $10.43 for the trailing 12 months, up 45%. ROE was 19.5% despite equity increasing 45% over the last two years. Our average yield on our client float was 379 basis points for the quarter versus 303 basis points for the prior quarter and our net interest and fee income increased $93 million versus the prior year quarter. Our book value per share increased $3.15 during the quarter, significantly larger than our reported EPS due to positive changes in other comprehensive income to close at $60.32, up 21% versus a year ago. Turning now to Slide 6, our segment summary and just to touch on some of the highlights before Bill gets into more detail. For the quarter, segment operating revenue was up 30% and segment income was down 5% due to the exceptional results a year ago and also due to the restructuring charges mentioned earlier. Our commercial client segment was up 47% in segment income off the back of a 20% increase in operating revenues, with strong performances in precious metals and also the effect of higher interest rates. Versus the immediately preceding quarter, segment revenues were up 21% and segment income was up 24%. Our Institutional segment realized a 79% increase in revenues, which translated into a 12% increase in segment income. The disparity in those two gross numbers is due to revenue being increased by the interest carry on fixed income. The fixed income business, as mentioned earlier, is one of the best quarters, and the equity business experienced a much more challenging one, while the listed derivatives business and securities clearing were boosted by interest and fee income. Versus the preceding quarter, segment revenue was up 6% and segment income was down 10%. Retail had another difficult quarter with continued challenging market conditions, especially when compared to the exceptional results a year ago. Operating revenue was down 35%, but up 11% versus the preceding quarter. Segment income swung to a profit of $4.8 million versus a loss of $4.2 million in the preceding quarter, but was still down 89% from a year ago. Global Payments revenue was up 21% and segment income was down 33% due largely to the bulk of the reorganization charges being charged here. Segment income would have exceeded last year's without these charges. For the trailing 12 months, we have segment operating revenue and segment income up double digits, except for Retail, which was down. We have said repeatedly, we take a long-term view on how we manage the Company and grow our franchise. And as such, we believe that the best way to gauge our results and progress is to look at longer-term performance, such as trailing 12-month results rather than specific quarters taken in isolation. Turning to Slide 7, which sets out our trailing 12-month financial performance over the last nine quarters. These numbers have been adjusted for the accounting treatment related to the gain in the CDI acquisition as disclosed in our prior filings and which appear in the reconciliation provided in the appendix of this earnings deck. On the left-hand side, the bars represent trailing 12-month operating revenue over the last nine quarters. As you can see, this has been a smooth and strongly upward trend as we have steadily expanded our footprint and capabilities. Our operating revenues are up 63% over this period for a 28% CAGR. Our adjusted pretax income, likewise, has grown significantly at a 25% CAGR. Our pretax earnings dipped this quarter due to the reorganization charges mentioned earlier. On the right-hand side, you can see the adjusted net income with the bars, which is up 62% over the last two years for a 27% CAGR. The dotted line represents our ROE, which has remained above our 15% target, even though our capital has grown by 45% over this period. With that, I'll hand you over to Bill Dunaway for a discussion of the financial results in more detail. Bill, over to you.
Bill Dunaway: Thank you, Sean. I'll be starting on Slide number 8, which shows our consolidated income statement for the second quarter of fiscal 2023. Sean covered many of the consolidated highlights in the quarter, so I'll highlight a few and then move on to a segment discussion. Transaction-based clearing expenses declined 10% to $69.2 million in the current period, principally due to lower fees and equity ADRs as well as the decline in FX/CFD contracts, average daily volume and listed derivative contract volumes. Introducing broker commissions declined 2% to $42.2 million in the current period, principally due to declines in our independent wealth management and retail FX/CFD businesses. Interest expense increased $164.6 million versus the prior year, primarily as a result of the $117 million increase in interest expense related to our institutional fixed income business and a $36.6 million increase in interest paid to client balances on deposit as a result of significant increase in short-term interest rates. Interest expense on corporate funding increased $4.3 million versus the prior year, also as a result of the increase in short-term interest rates as well as an increase in average borrowings. Variable compensation declined $2.3 million versus the prior year due to the decline in net operating revenues as well as a change in product mix and represented 30% of net operating revenues in the current period compared to 31% of net operating revenues in the prior year period. Sean covered earlier on this call, the fluctuations in fixed compensation, so I'll move on to other fixed expenses, which increased $6.5 million as compared to the prior year to $106.4 million. However, this is a $3.8 million of decline versus the immediately preceding quarter. As compared to the prior year, non-trading technology and support increased $3.4 million due to software implementations and ongoing support. Travel and business development increased $2.8 million. Depreciation and amortization increased $1.8 million due to incremental depreciation related to internally developed software as well as higher amortization of leasehold improvements in intangibles acquired. And finally, occupancy and equipment rental increased $1.8 million as compared to the prior year. Offsetting these increases, professional fees declined $2.5 million as compared to the prior year, principally due to lower legal fees. Bad debt expense net of recoveries declined $9.3 million to $3 million in the current period versus $12.3 million in the prior year period. The prior year comparable period included a $6.4 million other gain related to a foreign exchange antitrust class action settlement received, while the immediately preceding quarter includes a $23.5 million gain on the acquisition of CDI. Net income for the second quarter of fiscal 2023 was $41.7 million, which represents a 35% decline versus a very strong $64 million in the prior year and is a 46% decline versus the immediately preceding quarter, which included the gain on the acquisition of CDI I just noted. Moving on to Slide number 9. I'll provide some more information on our operating segments. Our Commercial segment added $36 million in operating revenues versus the prior year and $37.7 million compared to the immediately preceding quarter. This increase was driven by a $37.1 million increase in interest earned on client balances as a result of the significant increase in short-term rates. Average client equity declined a modest 2% versus the prior year. In addition, operating revenues from physical transactions increased $14.7 million compared to the prior year as a result of growth in both Physical Ag & Energy and precious metals activities. These increases were partially offset by $12 million and $4.5 million decline in operating revenues derived from listed and OTC derivatives, respectively, with the prior year being a very strong performance, as Sean noted earlier. Versus the immediately preceding quarter listed and OTC derivative revenues increased $7.2 million and $15.4 million, respectively. Fixed compensation and benefits increased $3.3 million versus the prior year and other fixed expenses increased $2.6 million, including increases in selling and marketing, travel and business development and depreciation and amortization. Bad debt expense declined $7.4 million as compared to the prior year. Segment income was $102.9 million for the period, an increase over the prior year period and preceding quarters of 47% and 24%, respectively. Moving on to Slide number 10. Operating revenues in our Institutional segment increased to $159.7 million versus the prior year, primarily driven by $101.5 million increase in securities operating revenues compared to the prior year as a result of the 65% increase in average daily volume of securities transactions as well as the increase in interest rates. The increase in securities ADV was driven by an increase in volumes in both equity and fixed income markets. As Sean mentioned earlier, the increase in interest rates also led to a significant increase in securities-related interest expense for the period, which I'll touch on momentarily. Interest and fee income earned on client balances increased $55.2 million versus the prior year as a result of the increase in short-term interest rates as well as a 61% increase in average client equity. The rise in short-term rates drove a $156 million increase in interest expense versus the prior year. Interest expense related to fixed income trading and securities lending activities increased to $117.5 million and $3.4 million, respectively, as compared to the prior year in the immediately preceding quarter, while interest paid to clients increased $32.6 million. Segment income increased 12% to $55.8 million in the current period as a result of the $5.1 million increase in net operating revenues. Fixed compensation and benefits increased $2.2 million versus the prior year as we build on our product offering, while other fixed expenses increased $1 million. Bad debt expense declined $2 million as compared to the prior year period. Segment income declined $6.2 million versus the immediately preceding quarter. Moving on to the next slide. Operating revenues in our Retail segment declined $41.4 million versus the prior year, which was primarily driven by a $37.5 million decrease in FX and CFD revenues as a result of a 26% decline in rate per million as well as a 22% decline in FX, CFD, ADV as compared to the prior year. Operating revenues from securities transactions declined $3.6 million. Operating revenues in the retail segment increased to $8.1 million versus the immediately preceding quarter. Segment income declined 89% to $4.8 million in the current period, primarily as a result of the decline in operating revenues. We moved to Retail marketing employees to our central marketing department, which drove the $3.2 million of decline in fixed compensation and benefits. These costs were then allocated back to the retail segment through an allocation process, which partially drove the $5.1 million increase in other fixed expenses as compared to the prior year. In addition, we saw a $900,000 increase in depreciation and amortization, a $600,000 increase in non-technology and support and a $0.5 million increase in travel and business development. Closing out the segment on the next slide, operating revenues in Global Payments increased to $8.8 million versus the prior year, driven by a 16% increase in the average daily volume and a 2% increase in the rate per million as compared to the prior year. Fixed compensation increased $12.7 million as compared to the prior year, primarily driven by the reorganization cost Sean noted earlier as well as incremental hires related to the build-out of our payment offerings. Segment income was $15.9 million in the current period and represents a 33% and 51% declines versus the prior year and immediately preceding quarters, respectively. Moving on to Slide number 13, which represents the bridge between operating revenues for the first quarter of -- second quarter of last year to the current period across our operating segments. Overall operating revenues were $704.4 million in the current period, up $159.7 million or 29% over the prior year. I've covered the changes in the operating segments for our segment -- operating revenues for our segments. However, a $3.4 million negative variance in revenues and unallocated overhead, primarily related to the outcome of the elimination of central treasury activities between business segments and corporate. The next slide, number 14, represents a bridge from 2022 second quarter pretax income of $87.4 million to pretax income of $57.5 million in the current period. The negative variance and unallocated overhead of $19.8 million was partially driven by the $3.4 million negative variance in revenues I just noted as well as a $2.5 million increase in variable compensation and a $12.4 million increase in fixed compensation and benefits, which was partially due to the movement in the retail marketing team in the central department as I touched on earlier. In addition, we saw a $4.3 million increase in interest expense on corporate funding, a $1.7 million increase in occupancy and equipment rental and a $1.8 million increase in non-trading technology and support. These increases were partially offset by a $2.6 million decline in professional fees, an increase in -- as well as an increase in central allocation to the operating segments, particularly retail. Finally, moving on to Slide number 15, which detects our interest and fees earned on client balances by quarter as well as a table which shows the annualized interest rate sensitivity for a change in short-term interest rates. The interest and fee income net of interest paid to clients and the effect of interest rate sweeps increased to $43.2 million to $54.6 million in the current period as compared to $11.4 million in the prior year. As noted in the table, we estimate a 100 basis point change in short-term interest rates either up or down, would result in a change to net income of $21 million or $1.02 per share on an annualized basis. With that, I would like to turn it back over to Sean.
Sean O'Connor: Thanks, Bill. Let's move to the final slide, Slide number 16. We achieved another set of very good core operating results with moderating market conditions offset by higher interest earnings on our client float. This quarter, we are comparing against a very strong quarter a year ago and also has significant reorganization charges, which should be recovered with lower variable compensation over time. For the quarter, we recorded EPS of $1.95 and an ROE of 13.8%. Adjusting for the reorganization charges, results would have been in line with the first quarter results, excluding the gain on the CDI acquisition. For the trailing 12 months, we recorded net income of $219.7 million or $10.43 in EPS, equating to a 19.5% ROE on stated book. Our book value is now $60.32 per share, up 21% versus a year ago. When our performances are used through a slightly longer-term lens such as trailing 12 months over the last two years, which evens out quarterly anomalies, our results continue to show a strong upward trajectory, growing revenues at a 28% CAGR and adjusted earnings at a 27% CAGR. While trading conditions moderated towards the end of the quarter, we believe that our growing and diverse business and multiple earning drivers will continue to drive growth and deliver shareholder value. We continue to see strong growth in client trading volumes across asset classes and products as well as segments, which speaks to growth in our underlying client base and client engagement. We continue to invest in our financial ecosystem, expanding our products, capabilities and talent. We have a unique and broad financial ecosystem with a very large addressable market in front of us. Operator, let's see if we have any questions. I'm sure Dan is onto the line.
Operator: [Operator Instructions] Our first question comes from the line of Daniel Fannon from Jefferies LLC.
Daniel Fannon: So I want to just follow up on just the environment at a high level. You've talked about higher volumes and lower spreads was kind of something is just kind of a takeaway for the quarter. But maybe as you think about the end markets to healthier customer base kind of activity levels is you obviously you have tough comps from how great things have been. But as you look underneath, does it feel the sustainability of activity levels is kind of -- I was hoping to get a little more color around and knowing that you can't predict volumes, but generally, the trends seem like they're holding it up at least reasonably well.
Sean O'Connor: Okay. So I guess you sort of have to pass that question out into two things. I mean, in terms of revenue capture, we obviously were comparing against a phenomenal quarter a year ago. So revenue capture was down versus that. I would say, excluding that, if you look maybe over the last three quarters, I would say there are signs generally whether you look at the VIX or whether you look at volatility in sort of metals markets and elsewhere, that volatility has declined generally over the last two, three quarters. I think it's probably still somewhat elevated in general terms versus, say, 2019, but it's certainly nowhere near where it was a year ago. So it seems to be flattening up. Now we could be entering -- volatility can change fast, right? I mean, as we've seen with sort of the bank drama. And then what's going on with all the Californian banks, I'd like to know. But anyway, I think we sort of may be flattening out there, and we could see periods of higher volatility. So that's on the volatility side. On the volume side, we've certainly seen continued strong volumes. I think we might, depending on the kind of economic situation, we think may transpire. We may also see that start to moderate slightly. I mean if we go into a highly credit constrained environment and a recession, I think you probably got to say volumes aren't going to continue to increase at the same pace and all things being equal, would probably moderate a little bit. So that's my anticipation. I would say, though, the other factor to take into account is just the competitive environment. I think we're making market share gains, right? So I think banks are struggling. I think they're starting to again consider whether they should be in some of these businesses. We continue to see us onboarding clients from banks. So even in a more moderated environment, we may still see some decent growth through market share gains. So I think it's a pretty good environment for us. And obviously, you've got interest rates at a high level. So I think all in all, this is a pretty good environment for us over the next kind of three to six quarters. It obviously depends on sort of the overall economic conditions and how dire those get, absent something really bad, I think it's going to be a decent run for us here. I mean taking all those factors into account.
Daniel Fannon: That's helpful. And then I guess just upon one of the areas where you are taking share is fixed income. Can you talk about your offerings, what you're doing there? You've hired some people, you've built this business organically, but thinking about prospectively, are you allocating more dollars, resources to this to continue this trajectory?
Sean O'Connor: I don't think we're allocating more dollars in terms of sort of limits or inventory or whatever. I mean this business has ramped up pretty fast over the last five years and seems to have sort of stabilized. What we are seeing is just a lot more volume, and we certainly are picking up a lot of market share in this business. I was just traveling for two weeks, and I certainly the fixed income guys off and I came in and they like 10 new people here, and they all come from firms who were competitors of ours who are not doing so well. I mean we've got some people from Credit Suisse, we've got some people from other places. So we certainly seem to be attracting talent, and we certainly seem to be outperforming our competitors, and talents normally follows that, right? So I think the fixed income guys have done a phenomenal job. I do think, as we've said now for a couple of quarters, there's a lot of activity in the more commoditized products, right? We've seen just a lot of activity in T-bills and in treasuries. And as all this turmoil is going on with the banking sector, that is giving us a lot of volume. Now we're making money out of it. But in terms of rate per million revenue capture, it's a lot lower revenue capture than some of our other products. But certainly, we're seeing very good results from our fixed income guys doing a great job. And I think we're becoming -- I definitely think in that area we are showing market share gains. I think it's showing up with our clients perceive us. I think we're sort of stepping into the void created by some of these other banks who are withdrawing. So out of everything there we're seeing lots of market share gains and enhancement of that franchise for us.
Daniel Fannon: Okay. That's helpful. And then just following up on the reorg and some of the expense items in the quarter that I think you said were mostly any kind of Global Payments related, but why now? Kind of what -- do we see this kind of flowing through other portions or segments of the business as you kind of go through this? Or just a little more context would be helpful.
Sean O'Connor: Yes, it's just strange how all the stuff always seems to hit in one quarter no matter how you sort of think it's going to be different. We've had a lot of people who have been with us for a long period of time, who've helped grow our businesses. They were very highly paid people. A lot of them have taken a lot of their compensation in stock. A lot of them are sort of getting to their 60s. And I think sort of post sort of a three tough year period during COVID, it sort of became time, I think, for some of these people to think about retirement. We have to start thinking about transitions. And so that's really what happens. So I think we feel very comfortable about it. I think we've got a good bench. But these people have done a fantastic job for us, helped us build a great business, have built a great bench behind them. But at some point, people want to go do other things. And when that happens, particularly when people have a lot of stock, we typically, if someone retires, we invest all of their stock immediately because they deal with us and build a great business, and that hit comes immediately, right? So that's really what happened. We -- in our precious metals business -- our senior guy run, well, in fact, it was sorting the whole metals business. We've got a great person following up. They've been working on a transition for the better part of two years. The guy headed up by precious metals activities in Asia and then the head of our Global Payments business, all sort of at the same time, decided this was a good time for them to sort of move on. So we've got young talented people in their space. I feel very comfortable about it, but there's just the cost of all of that, right? That cost will be recovered because we have modified the variable comp structures. I mean all of the senior people were big draws out of the variable comp pool given that they started and then we hear originally, and we've managed to skinning that up a little bit. So I think we've got a leaner comp structure going forward, and we certainly will recover these costs pretty quickly. And then there'll be an enduring benefit from there on, right? So anyway, that's the story Dan.
Daniel Fannon: That's helpful. And then just in terms of all the disruption that's happening, do you -- have you -- is M&A kind of moving up the priority list as you're seeing potential businesses or carve-outs of other firms that maybe aren't doing as well that are more attractive today?
Sean O'Connor: I would say we haven't really seen that yet. But definitely, what we are seeing is a pickup in talent coming over, which for us is a little bit the same thing, right? In some ways, if you can pick up a team and we just picked up a team of five fixed income traders, very competent team, well known in the market. When they come across and generally speaking, can bring their clients with them, that's almost better than us making an acquisition at some level, right, because we don't have to pay for it. And we get a bunch of guys who come over, bring their business with them and sort of fit in seamlessly to our culture. So we're seeing a lot of that happening at the moment, which, in some ways, I think, is a better and low-risk way to grow our business, and I think we're going to see more of that. There are obviously a lot of people out of Credit Suisse and other people looking. So I think it's a good environment for us to pick up talent. I think clients are also looking where to move to. So there's a good opportunity to pick up clients. So we're seeing that kind of, I guess, opportunity rather than acquisitions. But I think you're right, at some point, there are going to be some acquisitions. I think this is a tough environment for some people in the financial markets. I mean it's great for us, but some people are struggling and there should be some opportunities. But nothing I can say we looking at seriously at the moment. Are there any other questions? Operator ?
Operator: [Operator Instructions]
Sean O'Connor: Okay. It looks like we don't have any questions. So I'd like to thank everyone for joining us on the call. I'd like to thank all the great team members of StoneX for another great performance this quarter, and we look forward to speaking to all of you in three months' time. Thanks so much.
Operator: This does conclude the program. You may now disconnect. Thank you.